Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2011 Bancorp, Incorporated Earnings Conference Call. My name is Greta, and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of today’s conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I’ll now turn the presentation over to your host for today’s conference Andres Viroslav, Director of Corporate Communications. Please proceed, sir.
Andres Viroslav: Thank you, Greta. Good morning and thank you for joining us today to review The Bancorp’s third quarter 2011 financial results. On the call with me today are Betsy Cohen, Chief Executive Officer; Frank Mastrangelo, President; and Paul Frenkiel, our Chief Financial Officer. This morning’s call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 11:30 AM Eastern Time today. The dial-in for the replay is 888-286-8010 with a confirmation code of 91908919. Before I turn the call over to Betsy, I would like to remind everyone that when using this conference call, the words believes, anticipates, expects, and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risk and uncertainties, which could cause actual results to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties, please see The Bancorp’s filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date hereof. The Bancorp undertakes no obligation to publicly release the results of any revisions or forward-looking statements, which may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. Now, I’d like to turn the call over to Betsy Cohen. Betsy?
Betsy Zubrow Cohen: Thank you very much, Andres and thank you all for joining us today. During the third quarter, we continued to pursue vigorously our existing business model. On the asset side, we not only increase loans on a year-over-year basis by 8%, but within that category saw growth and both in balance sheet impact and in pipeline from our SBA business, and our direct leasing business, which grew year-over-year from about $100 million to about $130 million, and we foresee further increases. Again, pursuing the past that we have discussed before, we continue to buy securities to broaden our net interest margin, and so total assets grew, securities and loans grew by 16% on a year-over-year basis. If one were to back out, what we consider to be excess deposits on a seasonal basis, the net interest margin for the third quarter was approximately 3.62%, compared to the linked-quarter at 3.54%, and on a comparable year-over-year basis to the quarter ending 12/31/10 sorry, for the quarter ending 12/31/10 at approximately 3.75%. On the deposit side, we feel that not only do we have a significant pipeline of very significant partners with whom we will be launching. We have and we will be launching projects, but the Dodd-Frank Act has really been a help to us in that it has identified an opportunity within the market for us to pursue clients who are eager to not have the restrictions imposed by their relationships with banks, $10 billion and above. Some of these large clients take longer to launch than the smaller members or partners, potential partners within the pipeline. And I think Frank is going to talk about that in a little bit, in the context of linked-quarter non-interest income in the prepaid area. On the deposit side, however, we continue to have a very significant growth and it is as a result not only of new relationships, but of the volume increases in old relationships. If we were to compare our non-interest income on a third quarter to third quarter basis, and remembering the seasonality of our business, we think that’s the appropriate approach. Prepaid card fees increased 62% from the same quarter 2010 and a 45% increase in third-quarter excuse me, year-to-date and the third, and a 45% increase in third quarter 2011 over third quarter 2010 both of those are very good numbers we feel. We think we have achieved some operating leverage during this quarter that is expressed both in quarter earnings of 40% increase year-over-year, and also in the efficiency ratio, which is improved from approximately 67%, excuse me to approximately 67% from approximately 73%. And that of course is a result of increased revenues, and so given the increases that we’ve just reported we would hope that you would see further improvement in net efficiency ratios as the quarters go forward. This is a quarter in which credit losses were stable, but credit allocations and provisions were reduced from the link quarter on a year-to-date basis, 2011 over 2010. The aggregate provision was up by about $1.6 million. We have experienced during this quarter we will have link quarter basis at down tick in expenses. We cautioned you that not all of that is from efficiencies in operations although some portion of it is, but primarily due to the absence this quarter of any, or reduction in OREO expenses and other credit related expenses. Not bad news, but not totally from the operating side. Frank, would you like to talk a little bit about the non-interest income and our position in the marketplace with respect to prepaid?
Frank M. Mastrangelo: Absolutely, Betsy. So as Betsy mentioned, our prepaid pipeline continues to be extremely robust. But as we’re engaged with ever larger partners with existing volume and significant program, there are more complexities surrounding the signing and conversion of those programs over to Bancorp. And I think that’s one of the things that certainly affected the quarter-to-quarter non-interest income in prepaid. Q3 tends to be a relatively flat quarter from a non-interest income standpoint and an extremely strong quarter from a deposit generation standpoint. This quarter, non-interest income was slightly weaker than normal, primarily impacted by some of those conversions that were, expense was being allocated, but ultimately the programs might have been delayed because of the size and complexity by a quarter. So there’s a little bit of a timing differential there. Nonetheless, stored value income was up 45% year-over-year, non-interest income excluding securities up 35% year-over-year for the organization with stored value being a very meaningful driver there.
Betsy Zubrow Cohen: Thank you, Frank. I’m sorry, did you want to go on?
Frank M. Mastrangelo: No, no.
Betsy Zubrow Cohen: I think that we saw growth in many of our lines of business. Merchant has a big pipeline of potential new customers as well as having growth within its existing portfolio. Our wealth management group signed up and launched within the third quarter, several very important programs, which had little or no impact during that quarter, during this quarter, excuse me. And we would hope to see impact, both on the security backed lines of credit side as well as deposits from that program during the following quarters. The programs are just too new. I think with that, I’m going to ask for questions and if Greta, you could ask if anyone has a question, I would appreciate it.
Operator: (Operator instructions) And our first question comes from the line of John Hecht with JMP Securities. Please proceed.
John Hecht – JMP Securities LLC: Good morning and thanks for taking my question. First with respect to non-interest income, Frank, I’m wondering, do you have the actual dollar income from the stored value processing fee segment handy? And then the second is, you mentioned it’s taking longer because you have a larger affiliation to convert to actual deals. Have you made any of these conversions in Q4 at this point? Or can you tell us whether we expect seasonally Q4 should grow from Q3 in that line item?
Betsy Zubrow Cohen: John, are you asking, do we propose to make to launch programs in Q4? Is that…
John Hecht – JMP Securities LLC: I’m wondering if you, it sounded like you’re always proposing on to the pipeline, but Frank was suggesting that some of those were taking a year longer to convert or finalize to make them actual programs that were yielding dollars. I’m wondering if some of those had converted in Q4.
Betsy Zubrow Cohen: Well, Q4 is pretty new. Okay.
Frank M. Mastrangelo: But the answer is yes, John. We have at least one large client that will be boarded and processing volume with those in Q4.
John Hecht – JMP Securities LLC: And would you do on a seasonal basis and with this client, would you expect that line item to increase in Q4?
Frank M. Mastrangelo: Yeah, without a doubt.
John Hecht – JMP Securities LLC: Okay. And then, can you guys give us some information of the inflows and outflows in the OREO account?
Betsy Zubrow Cohen: Sure. I’m just reaching for that information, John, sorry. We have, during this quarter, brought into the OREO account, a residential property that I’ve described to you before where the foreclosure was begun in 2008. That property finally came into OREO on 26th of September. And so although we have significant interest in the sale of that property, it hasn’t yet been sold in the last couple of weeks. So that’s brand new. We do anticipate however that within this fourth quarter or the first quarter that that will be under agreement of sale. There were other small ins and outs, but I think that that’s the most significant one.
John Hecht – JMP Securities LLC: Okay. And then Betsy, you mentioned, I think your [core name] excluding the excess deposits forges up next week quarter-to-quarter. I mean, is that really just a factor of increasing the loan portfolio as a composition of earning assets or are there other measures you can take to increase that on the deposit side? And can you give us a sense where you’d expect that to go in the next couple of quarters?
Betsy Zubrow Cohen: Sure. I’m going to ask Paul to start the answer to that question and then I retain my right to interrupt. Paul?
Paul Frenkiel: Sure. The seasonality, the easiest way to measure the seasonality, first of all, is to look at our interest bearing deposits because we deposit our excess seasonality into the Federal Reserve Bank and we don’t really use it for liquidity purposes. But aside from that, the core growth is invested obviously in loans and in the other categories in the balance sheet. I’d be happy to give you like more detail and follow-up with more detail, if you’d like. But that measurement actually, I believe, is the information you’re looking for.
Betsy Zubrow Cohen: I think you might also be thinking about the fact that during this quarter on the loan side, we had about $120 million in new originations, not all of which can hit the balance sheet, for example, the SBA loans are all, have six months draw period so that they will be coming on in whatever we originated and closed in this quarter will be coming on to the balance sheet in segments over the next two quarters. And there are other loans that have those characteristics as well. But I think that’s about a 20% uptick in terms of originations from the past several quarters. So I think it’s a combination, John, of our focus on loan origination within the categories that we’re comfortable with at increasing the securities portfolio, keeping a watchful eye on expenses and the reduction where possible of the rate of interest payable on deposits. So I think it’s really a combination of all those things.
John Hecht – JMP Securities LLC: Okay. And then just a final matter on that. It’s based on your relationships and affiliations in the deposit side. Is there much opportunity to take that total cost of deposits down?
Betsy Zubrow Cohen: Well, I think Paul will say yes and he’s been very successful with doing that. And so we continue to work at that. We are very focused on having our relationships yield more non-interest income than deposits. So I think that that has been a focus of ours and you can see that in the non-interest income growth. The cost deposits on a year-over-year basis, Paul, help me, went down from…
Paul Frenkiel: Went down from 68 to 45 bps and on a linked quarter, it was down slightly as well.
Betsy Zubrow Cohen: And so it’s hard to think of it going down significantly more, but we really from a forecasting point of view, which we don’t do generally, but we think, try to think about it in terms of the value of deposits over the next several quarters. We’re looking for rates to remain low given the macroeconomic events of the world as well as the United States, domestic as well as international. And so we’re very focused on bringing those interest rates down, but also having new relationships reflect and over emphasis, so to speak, on non-interest income.
John Hecht – JMP Securities LLC: Okay. Thank you, guys.
Operator: And your next question comes from the line of Frank Schiraldi with Sandler O’Neill. Please proceed.
Frank Schiraldi – Sandler O’Neill & Partners: Good morning. Just a few questions, if I could. I wondered, if first you could, maybe a question for Paul, if you could talk about the additions of the securities book in the quarter, and what sort of product you’re putting on and what the yields are on those?
Paul Frenkiel: We’re primarily purchasing two categories of securities. One is mortgage backed securities and on average, they were, and we said those purchases actually last quarter. And I think we touched on that on the last call as well. And so they’re the very shortest terms because we bought before the most recent rate decreases, they were in the two range, but the majority of what we purchased was above three. And I would like to say around three and a quarter on average. And additionally, we’ve been continuing purchases in mortgage backed securities and we actually have an opportunity to continue to do that. If you look at our balance sheet, as long as we don’t go too long, we still have the opportunity to leverage additional purchases and we’re continuing to do that. The other category is very short-term municipals for which we have an advisor and we’re able to get a little bit of yield out of those shorter-term municipals.
Frank Schiraldi – Sandler O’Neill & Partners: Okay. So the new stuff you’re putting on the MBS side is still yielding over 3%, is that?
Paul Frenkiel: No. We had made those purchases. So we’re not really buying those particular securities right now. We are more focused on the shorter-term municipals.
Frank Schiraldi – Sandler O’Neill & Partners: Okay. But you purchased those in the quarter, the MBS?
Paul Frenkiel: Yeah, first in the quarter we purchased some in the last quarter and so you saw the impact in this quarter and you’ll continue to see it.
Frank Schiraldi – Sandler O’Neill & Partners: So what’s different about like the agency MBS see generally coming out of the books in the two range or maybe slightly below in terms of what you’re putting on. Is it the duration? I mean what’s the…
Frank M. Mastrangelo: The average buys of what we bought and obviously the yield is directly related to that. So on the shorter terms, it might have an average life in the two-year range and on the longer end, they would have an average life in the four-year range or so. As Betsy said, because we expect rates to be low, we think that those investments were well timed because we’ll have a significant amount of amortization back by the time interest rates go up.
Frank Schiraldi – Sandler O’Neill & Partners: Okay. But in that bucket, that’s all agency MBS, is this what you’re buying there?
Frank M. Mastrangelo: In the agency MBS bucket, yes.
Frank Schiraldi – Sandler O’Neill & Partners: Okay. And on the, and do you expect, I mean, in terms of purchases going forward, I guess, maybe a better question to ask is, given how the seasonal nature of the deposits, and I know that’s probably becoming a little less seasonal actually. But what sort of liquidity in the form of basically fed funds, cash and cash equivalents do you have to keep on the books? Is this, can you go much lower than where you are sitting now or just sort of keep this level on inside funds?
Frank M. Mastrangelo: We clearly can go much lower. The regulators want to see maybe 15% on balance sheet liquidity. So we’re above that. And the other part of your question is that it’s true, we do have seasonality. But the vast majority of our deposits are extremely stable and we can invest in securities and that’s been looked at in every possible way, by every possible entity. And the conclusion has always been that those deposits are extremely stable.
Frank Schiraldi – Sandler O’Neill & Partners: Okay. And just on the deposit side, most of it’s tied to fed funds, right, and that just re-prices off of fed funds basically.
Frank M. Mastrangelo: A substantial portion is, but at a relatively modest percentage of fed funds. So it’s…
Betsy Zubrow Cohen: I think, Frank, that the average for the whole portfolio, the average is about 50% of fed funds.
Frank Schiraldi – Sandler O’Neill & Partners: Okay, great. Okay, and then Betsy, maybe I know you had talked a little bit about the SBA lending initiative and getting more of that on the balance sheet going forward. So it sounds like, is there possible to sort of look forward to 4Q and think about what sort of growth we might see come out of the balance sheet in that quarter?
Betsy Zubrow Cohen: From the SBA component?
Frank Schiraldi – Sandler O’Neill & Partners: Yeah.
Betsy Zubrow Cohen: Yeah, we think that we should approximately double it. It’s not a big number, Frank, but approximately double what we have on the balance sheet. Now, part of that is the drawdown of existing commitments that get taken down over time that are on the balance sheet now and the balance of that is new commitments, of which a portion will be on the balance sheet.
Frank Schiraldi – Sandler O’Neill & Partners: Okay. So in dollar terms, I mean, what would be a doubling of, I’m not sure where it is…
Betsy Zubrow Cohen: Yeah, I think that we have approximately $30 million on the books. And we think that we can approximately, and its all a matter of the timing of the takedowns, approximately double that within the next quarter or two, quarter and a half. We have that in the pipeline. Our pipeline reflects that within the next 90 days.
Frank Schiraldi – Sandler O’Neill & Partners: And in terms of other growth on loan broker side and construction, commercial construction looks like there was a tick up. I don’t know if you can maybe just give us a little color there and…?
Betsy Zubrow Cohen: There are selective opportunities. I think we’ve talked before about the fact that we’re not pursuing it as a significant line of business for growth. But there are selective opportunities with clients that we know very, very well, who have market opportunities that arise from the volatility or the down tick or whatever you want to call it in the market place itself. Some of it comes from other lender distress or whatever have enough property to distress, the lenders distressed. And so there are selective opportunities, most often those are short-term. We have a lot of turnover in that, so it might have ticked up this quarter. And we will replace it, but it’s not, it shouldn’t be projected on a linear basis in terms of that kind of growth.
Frank Schiraldi – Sandler O’Neill & Partners: Okay.
Betsy Zubrow Cohen: We’ve seen growth in the commercial portfolio. There are a lot of opportunities out there in community banking. You also see as a result of new relationships and maybe I’ll as Frank, just chronicles and for a moment those that we’ve launched within the last 90 days, a significant opportunity to grow the security backed lines of credit over the next several quarters as well. We’ve had a lot of interest from our traditional Sheriff office kind of base recently in terms of inbound requests for small fleet leasing. And so as I said earlier in the call that portfolio grew from about $100 million to about $130 million, and we foresee continued growth there with very good rates. Frank, do you want to just talk a little bit about the wealth management launches in the last 90 to 180 days?
Frank M. Mastrangelo: Sure, absolutely Betsy. So as Betsy mentioned, we truly believe that there is nice embedded growth in the S Block portfolio, primarily due to bringing on a number of due clients in the last six months or so. In the last six months we have launched traded lines, which actually just launched last quarter; we’re very high on this relationship, believe that would generate nice deal flow for the institution. But we also introduced Genworth earlier in the year, National Advisors Trust and Reliance Trust this year; all of which are new relationships to the institution, they’re all in the process of scaling. It’s a slow start with each of these large relationships, but once we get the ball rolling, we can get continued predictable volume from each of these channels, and that’s what we’re seeing beginning to occur in each of them.
Betsy Zubrow Cohen: And I think you might just touch on the growth of deposits from wealth management as well.
Frank M. Mastrangelo: Sure. Absolutely, so year-over-year the deposits are up 23% in the wealth management segment sitting just shy of $500 million in total deposits at the end of the quarter, continues to be a very nice driver of stable, sticky low cost deposits for the institution.
Frank Schiraldi – Sandler O’Neill: Okay, great. And then just finally, just wanted to see if I can get your updates on maybe, interchange; where interchange income is as a total of revenues, and I know Betsy, you talked about some relationships calling over because of the under $10 million asset level of the bank. And in the past you’ve talked about, you had pricing pressures outside Durbin, so just sort of any updates that you’re thinking on, on where interchange revenues go from here?
Betsy Zubrow Cohen: Sure, Frank. Why don’t you take that?
Frank M. Mastrangelo: Yeah. Frank, you’re asking specifically about the percentage of Bancorp’s prepaid income that is driven from interchange?
Frank Schiraldi – Sandler O’Neill: Yeah, I mean total inside prepaid or outside; just total, the total interchange income, and then your thoughts on where that goes year-over-year?
Frank M. Mastrangelo: Yeah, sure. So today, so in this past quarter it was about 32% of total prepaid income was driven through interchange that continues to come down quarter-to-quarter, year-to-year. If we go back two years ago or so, that number was in excess of 80%. So we do continue to decrease our exposure to interchange the method to drive our prepaid revenue, the same time we don’t intend to drive that to zero. We continue to, well I believe that we should have some exposure to interchange rates, and I’ll give you perfect example why? When Visa launched their new interchange table, they actually go into effect; I believe at the end of this month. They just published those in August, prepaid, the interchange rate for card present consumer transactions actually kicked up. So it actually increased for banks under $10 billion in total assets. So it’s nominal enough that it’s a nominal positive from an interchange standpoint, but we believe that we should continue to leave ourselves having some exposure to interchange rates, in case we call, the global wins are on there. At the same time, we think it was a prudent thing to do to lock-in non-interest income in the prepaid segment by shifting to the trend base pricing for a significant portion of the portfolio, which is what we’ve done. The other component of course of interchange based income is our debit card income, which was in Q3 about $134,000. And that’s interchange income driven from debit cards we issue on those wealth management accounts, those HSA accounts etcetera, that are used to spend from just normal [TDA] accounts in the institution.
Frank Schiraldi – Sandler O’Neill: Okay. So it runs, I guess the total interchange may be related around $1 million, $1.5 million in the quarter?
Frank M. Mastrangelo: Yeah, probably. Yeah $1.25 million, let’s say.
Frank Schiraldi – Sandler O’Neill: Okay.
Frank M. Mastrangelo: Yeah.
Frank Schiraldi – Sandler O’Neill: All right, thank you. That’s all I have, thanks.
Betsy Zubrow Cohen: Thank you, Frank.
Operator: And your next question comes from the line of Mathew Kelley with Sterne Agee. Please, proceed.
Mathew Kelley – Sterne Agee: Yeah, a question for Frank. Can you give us a little bit of an update on relationships that you entered into say, 12, 18 months ago or just over the last year, and where they are in terms of actually generating revenues in the next couple of quarters, the next two to three quarters? And then talk about just the pipeline for new opportunities, things you haven’t announced yet. Just kind of give us a sense of the nature of those relationships, which industries and maybe a little help on sizing?
Frank M. Mastrangelo: Sure. Well Matt, we typically talk about individual clients, certainly what I can tell you is that, we signed some larger clients earlier in the year, and because of the complexity of those clients and relationships, who had existing volume in other spots, the intent was to convert that or at least a portion of that to Bancorp. It has taken a bit longer than we anticipated. We will see some of those relationships [bored] in Q4 and begin to make impact as we noted earlier. There are really three primary themes that are driving what is an extremely robust pipeline. Betsy mentioned one, and that of course is Durbin. So they’re in large program sitting inside of large banks that are looking to convert, obviously the Durbin related interchange caps went into effect on October 1. So some of those programs are scrambling now, attempting to get as quick of a conversion as they possibly can. We have a lot of focus around that. There is a significant amount of business tied to that conversion. It’s possible that some of that makes impact in Q4, I would say, certainly Q1, Q2. Beyond that, we’ve talked in the past that there has been some disruptions in the market through regulatory issues that other competitors of ours that certainly kicked a fair amount of business into play. We’ve a significant pipeline related to that. And again, these are programs with existing volume, where at least a portion we book to convert to Bancorp. I would say that’s more, late Q1, Q2, possibly even Q3 impact in 2012. The third category that’s really driving the very robust pipeline today is a focus of new entrants into the alternative payment space, either Mobile Wallet or other payment space, where firms might need bank sponsorship of some sort for their alternative payments plan. So those firms typically don’t have existing volume, but some of them have very, very wide distribution in the core business, and have the potential to be very, very attractive programs.
Mathew Kelley – Sterne Agee: Okay.
Betsy Zubrow Cohen: I would just like to add to that if I could, Matt, some of the programs we’ve put on such as Mobile Wallet programs, we don’t put on because we expect large volume tomorrow. We put them on because we expect those to be growing sectors, and we want to stake out our place, and we try to balance that with conversion such as those that are generated by Durbin, where a portfolio exists, and you can have an immediate impact. But this is an art, not a science. And so we’re trying those to penetrate market presence in new areas as well as bring on business that will have instant impact, so that’s balancing act.
Mathew Kelley – Sterne Agee: And just getting back to point one, the direct Durbin impact. I think that, we’re all aware of the potential issues for someone like a Green Dot with GE and Synovus, but talk about the opportunity to seeing from other large banks who are impacted by Durbin, the program mangers and those types of products are looking for new partners in the bank side, what types of areas or product lines, or maybe a little bit help outside of GPR, on who’s being impacted by Durbin?
Frank M. Mastrangelo: Sure. Debit reward programs at large institutions are being impacted. There is a series of healthcare products that were issued by large institutions that were originally thought to be exempt, but after some said clarification within the last two months or so, it became evident that those healthcare products were not exempted on a product basis, meaning they had to qualify for either the GPR exemption or the under $10 billion bank exemption. Most of them couldn’t qualify on a product basis. So there is a scrambling effect that occurred trying to get those programs over to different issuers.
Mathew Kelley – Sterne Agee: Gotcha.
Betsy Zubrow Cohen: I think that, also this is sort of a shock. We’re in midst of not only in this area, but in every financial area that I can think of. In response, it is being into the shockwaves, and so you have shockwaves associated with the attention that added fees get in large institutions from the Consumer Protection Finance Bureau, I may have said backwards. And then, that generates a response. So there are many dynamics in the marketplace, and they keep coming in, in waves.
Mathew Kelley – Sterne Agee: Got it. Just switching gears to the expense side, we got two quarters now, we’re annualized; you’re running around $72 million in operating expense. Do have a better sense today compared to when we talked in July on the growth rate of that $72 million base?
Betsy Zubrow Cohen: I think that over the last year, it’s been about 11%. We’ve talked I think in July about it being 10%. We’re continuing to look at efficiencies, and part of it is credit driven expenses. So all of those things come into play, I think we’re not far off.
Mathew Kelley – Sterne Agee: Okay. And I know, there’s lot of seasonality in your business, particularly kind of in the first and the third quarters when balances tend to be larger. Do you think that, over the next several quarters, you can kind of hold above 3% margins even in some of those more volatile, high liquidity quarters?
Betsy Zubrow Cohen: Well, I think we’ve taken steps over the course of the next or beginning in the middle of the second quarter of next year to reduce the volatility and the excess funds quarter-to-quarter. So I think you’ll see, and part of the reason that we’re focused on that is, because we want to really communicate to the market what’s value of the deposits within this business are, or maybe. And of course, that there is this rate scenario. But I think it will become clear over the next couple of quarters.
Mathew Kelley – Sterne Agee: Okay. And then last question, do you think that the securities portfolio, it looks like it could go above 50% of assets just over the next couple of quarters while you’re still ramping up loan growth. I mean how high could that securities to asset ratio go, given the fact that you’ve got this massive pipeline of deposits and liquidity coming in, and there’s no way that loan growth can keep track with that?
Betsy Zubrow Cohen: Well, I think we again try to balance that, this is a management judgment issue. And what we try to do is to manage risk across all portfolios. So while we’re purchasing securities which as you pointed out are easier to purchase within areas that we understand, and we can evaluate and have separate credit judgment about. We’re not generating those same kinds of loans within the portfolio. What we see, and therefore we’ve identified three areas that we would like to focus on in terms of growth within the loan portfolio, but they have small basis and it will take a couple of quarters for them to ramp up to the point where we’ll pull back on the securities purchases.
Mathew Kelley – Sterne Agee: Those being SBA, S Block and leasing?
Betsy Zubrow Cohen: Yes.
Mathew Kelley – Sterne Agee: Okay, all right. Thank you very much.
Operator: And your final question comes from the line of Andy Stapp with B. Riley & Company. Please proceed.
Andy W. Stapp – B. Riley & Co.: Good morning.
Betsy Zubrow Cohen: Hi, Andy.
Andy W. Stapp – B. Riley & Co.: I understand what Frank was saying about certain new businesses being delayed, but just trying to get better understanding why net interest income was or non-interest income was down linked-quarter. I know your business is seasonal, but I think last year non-interest income was stable linked-quarter?
Betsy Zubrow Cohen: Yeah, as Frank said, it’s generally stable and deposits tick up during that quarter. And then, there is growth in the non-interest income in the fourth quarter, and onward. I think we identify as the culprit, the fact that it took us a quarter or two longer than it might otherwise to launch new relationships, which we anticipated would add to the growth of the non-interest income. And the complexity of that comes from size, the complexity that we actually view as a competitive advantage, that comes from the regulatory side, and so we want to make sure that these clients are scrubbed from a regulatory compliance side and no oversight point of view before they’re brought in, because it’s always easier to do it before, have contributed to the delay for a quarter or two. And what we think, it’s a judgment about whether you want to bring that client on earlier to satisfy the non-interest growth component or expectation, or should we be doing just a little bit more work before we actually launch, and we decided to do a little bit more work before we actually launched. And so, we have had a delay of a quarter or two. I think that will work itself through in the next year, Andy, so stay tuned.
Andy W. Stapp – B. Riley & Co.: Okay. And could you talk about other credit quality metrics, how they fared during the quarters, such as early stage delinquencies and classified assets?
Betsy Zubrow Cohen: Sure. I certainly can, and I thought no one would ever ask. I’m just getting to the information. During the quarter, on a linked-quarter basis, non-accruals were down by about $2.5 million. 90 days plus was just about flat, may be up about $1 million, early stage delinquencies again were cut in half. So we’ve had a couple of quarters in which that was the trend.
Andy W. Stapp – B. Riley & Co.: Okay, great. Thank you.
Operator: This concludes the question-and-answer portion of the call. I would now like to turn the call over to Betsy Cohen for closing remarks.
Betsy Zubrow Cohen: Thank you, Greta. And thank you all for as always your good questions in which you make us not only share information with you, but think about our business as well. And so, we look forward to continuing the success of this quarter in increasing operating leverage over the next several quarters, and thank you very much.
Operator: Thank you for your participation in today’s conference. This concludes the presentation, you may now disconnect.